Operator: Good morning, ladies and gentlemen, and welcome to the Ivanhoe Mines Ltd. Q2 earnings call. [Operator Instructions] This call is being recorded on Thursday, July 31, 2025. I would now like to turn the conference over to Matthew Keevil, Director, Investor Relations and Corporate Communications. Please go ahead.
Matthew Richard Keevil: Thanks very much, operator, and good morning and afternoon, everyone. It's my pleasure to welcome you to Ivanhoe Mines' Second Quarter 2025 Financial Results Conference Call. As the operator mentioned, my name is Matthew Keevil. I am the Director of Investor Relations and Corporate Communications with Ivanhoe Mines. On the line today with the company, we have Founder and Executive Co-Chairman, Robert Friedland; President and Chief Executive Officer, Marna Cloete; Chief Financial Officer, David Van Heerden; Chief Operating Officer, Mark Farren; and Executive Vice President, Corporate Development and Investor Relations, Alex Pickard. We will be finishing today's event with a Q&A session. You can submit a question using the Q&A box on the webcast as well as through the conference operator via your phone line. Please do contact our Investor Relations team directly if your question is not addressed during the call, we'd be more than happy to follow up with any unanswered questions. And before we begin, I'd like to remind everyone that today's event will contain forward- looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in the forward- looking statements. Details of these forward-looking statements are contained in our July 30th news release as well as on SEDAR + and at www.ivanhoemines.com. It is now my pleasure to introduce Ivanhoe Mine's Founder and Executive Co-Chairman, Robert Friedland for opening remarks. Robert, please go ahead.
Robert Martin Friedland: Thank you, and best of wishes to everybody from Switzerland. It's a beautiful day here, and I want to start by thanking everybody on the operating team at Kamoa-Kakula for having experienced a bump in the road, immediately getting to work on restoring Ivanhoe Mines as the fastest-growing and best new major mining company in the world. I also want to thank very much the people in our Chinese office and our partners at Zijin and CITIC who expedited a major effort to get world-class public systems in place on the site already in record time. And we're going to be telling you more about that pumping and our plans for the future imminently, but never have I seen such a great effort by such a diverse group of people responding to a challenge and working rapidly to overcome it. So with that and without further ado, let's go on to the management team. Thank you.
Martie Cloete: Thank you, Robert. This is Marna. Maybe just flip back to that previous photo where Robert was talking. So there you can see the team. That's the first submersible pump that arrived on site. It was flown there on a Boeing. So we are all flying in 4 of these pumps and then we're also bringing in a [ spare ] pump on a ship. So quite a magnificent effort by our team. If we can then go over to my highlights, I think this picture tells a big story. We've been in operation for 5 years now, and the old truck you see there in the back, it was one of the first fleet that we used underground at Kamoa-Kakula. We have now successfully rebuilt this fleet. And you can see the maintenance team standing in front of it. That's very proud of its first rebuild. And we use this exercise as a skills transfer exercise. And it also shows how the mine is slowly maturing to become one of the biggest, best copper mines in the world. So with that as an info, I will quickly talk you through the highlights of the quarter. So despite our operational challenges, I mean, it feels like I've been engaging with most of you and surely our team out of London and Vancouver as well continuously and Robert over the past 2, 3 months. We have returned a positive net cash flow of about $169 million for the second quarter. And we spoke about the dewatering activities, all our dewatering ordering activities are on track, and we should be dewatered by the end of this year. Our Phase 1 and 2 concentrators are operating at between 80% to 85% capacity. And Phase 3 is operating at above 30% capacity. So really just one of the success stories. We are planning to start a smelter in September still. And what's quite exciting for us is, as we would get closer to production at Platreef here in South Africa, we see a turn in sentiments around PGMs with platinum and palladium prices at a high. So bringing online Platreef just at the right time. And then we're also in the final stages of completing the Kipushi de-bottlenecking project, and that should enable us to increase our production capacity with about 20%. You can see the statistics there on the left-hand side of the slide. I'm not going to delve into that because David Van Heerden our CFO, will talk you through the financials. If we then go to the next slide, I think it would be amiss not to just discuss our safety achievements that we've had during the quarter. I think when a company experienced the type of event that we did in May and to get through it without any lost time injuries, it's a significant accomplishment. And I would like to commend the team at Kamoa-Kakula for handling the situation with absolute maturity and professionalism and looking after all our people. And it's a team effort. It's not just one person that makes a mine safe. It's a culture of safety, and it's everybody working together to ensure that we look after each other. But also another significant achievement that should not go unnoticed is that the Kipushi project engineering team has not recorded a single lost time injury since the construction of the Kipushi concentrator and throughout the de-bottlenecking program. So that's also a significant milestone and something that we are very proud of. And then I'm going to the next slide just on our sustainability efforts, and there's a little deck we produced with our quarterly news releases where you can see what we are up to. But this quarter we decided to showcase Kipushi. I think we really show the photos of what we achieved at Kipushi. But what we've done over the years is we've replicated what we've done in Kamoa-Kakula at Kipushi a slightly smaller sale. But we've started aquaculture and agricultural community projects. There's about 53 fish ponds at Kipushi and 21 hectares of agricultural farming and as well as poultry farming similar to what we have at Kamoa-Kakula. And these projects really influenced the whole town. It provides food security and business opportunities for the local community members that's not employed at the mine. So with that as an intro, I will now hand over to David Van Heerden to take you through our quarterly financials.
David Harry Van Heerden: Thank you, Marna, and good morning and good day to everyone joining the call today. We can move straight into the next slide. Notwithstanding the impact of the seismic activity in May, Kamoa-Kakula sold almost 102,000 tonnes of copper in the second quarter. That's just 8% down from the 110,000 tonnes sold in Q1. Contained copper in concentrate inventory on hand increased to 53,600 tonnes, up from the 48,000 tonnes on hand at the end of Q1. Approximately 31,500 of those tonnes are located at Kamoa-Kakula's on-site copper smelter for a buffer during the ramp-up, and 18,500 tonnes of the remaining unsold copper restored at nearby Lualaba copper smelter awaiting toll treatment. We expect that to decrease gradually over the next few months, which would mean that sales tonnes would exceed tonnes produced in the coming quarters. Kamoa-Kakula recorded revenue of $875 million in the second quarter of 2025 and that at a realized copper price of $4.34 per pound of payable copper. Revenue included a gain of $6 million on the mark-to-market of provisioning price sales, while the Q1 results included a gain of $51 million. Moving to the next slide. Kamoa-Kakula recorded EBITDA of $325 million for Q2, which was impacted by the lower tonnes sold, lower grade processed and abnormal costs as a result of the seismic activity, but more on that on a later slide. And cash costs for the second quarter was $1.89 per pound of payable copper with cash costs for the year-to-date sitting at $1.78 per pound of payable copper. The increase in cash cost in Q2 2025 was driven primarily by lower grade of ore processed, which included stockpiled ore and since May. And the quarter's results just really show how well diversified and resilient Kamoa-Kakula is as a mining complex with its various mines, concentrators and ample infrastructure. And moving to the next slide, where we illustrate Kamoa-Kakula's EBITDA of waterfall. The EBITDA waterfall highlights the drivers of the quarter-on-quarter EBITDA change. The decrease in tonnes sold contributed $49 million to the quarter-on-quarter EBITDA decrease, and that can sort of be seen in red there on the left-hand side of your screen, and while they were favorable changes on the copper price and logistics and treatment and refining charges. And in Q1, as I've mentioned previously, we recognized a $51 million gain on the mark-to-market of -- and provisionally priced sales, which was only $6 million in Q2, and that resulted in a $45 million delta when comparing the 2 quarters. Realization costs were slightly up from Q1. And then there was the big standout, abnormal cost due to seismic activity. So for Q2, the cost that did not contribute to production from May onwards were identified and ring-fenced and classified as abnormal cost. As per the accounting standards, these costs are not included in inventory and expensed straight into cost of sales. So in simple terms, the abnormal cost strips out the cost in the quarter related to the downtime at Kakula. And as an example, and I'll go into a bit more detail because it does seem there's some analyst questions around the abnormal costs. So as an example, all the costs at Kakula as a business unit was classified as abnormal since the mining ceased until it recommenced. So abnormal costs, therefore, includes the dewatering response costs, both permanent and temporary underground pumps and infrastructure to regain the lost pumping capacity, stabilize water levels and resume the limited mining in the West, and would, of course, include the electricity for the dewatering effort. It also includes the cost of idle crews until we were able to utilize them at Kakula West or at Kamoa as well as similar costs that did not contribute to production. The abnormal cost treatment was applied to the Kakula mine operations, both East and West until the operations recommenced on the West. And thereafter, it was applied to the East and dewatering only. So with the mining crews now and no longer idle, we do expect that the abnormal cost for the third and the fourth quarter will only be the cost linked to the dewatering and likely only the electricity costs and because of the fact that the funds are already procured, still new and limited maintenance is required. So not a reoccurring item essentially. And of course, the seismic activity resulted in additional inefficiencies over and above that normal costs, and that resulted in further quarter-on-quarter impact on cost of sales, which also impacted on C1, where I'll go into a little bit more detail on the following slide. Kamoa-Kakula recorded an impairment of $59 million in the second quarter of 2025, where specific assets, including fleet, pumps and other assets impacted by the seismic activity and resulting water inflow, were identified that may be lost or irrecoverable. And this included a full assessment of assets the team believes are completely unrecoverable as well as an impairment charge on the assets that are potentially recoverable using a probability assessment. So ultimately, a fairly small number given the scale of the incident, I think. Moving on to the next slide. We have revised our 2025 cash cost guidance range to between $1.90 and $2.20 per pound of payable copper. The increase from our previous guidance is driven by the impact of the lower expected feed grade of ore into the concentrators for the remainder of 2025. Grade mined at Kakula was roughly 5% before the seismic activity, and now we expect the average feed grades into the Phase I, Phase II concentrator to be approximately 3% of copper until the end of the year and will be sourced from both surface stockpiles as well as from the western side of the Kakula mine. And I would like to stress that this is -- that this elevated cash cost level is only temporary, while the Kakula mine is undergoing the turnaround and will we will get back to the higher portions of Kakula later this year and then cash costs will obviously drop again. It's also noteworthy that we will, of course, get the cash cost reduction benefits of the smelter from very early next year. And as we've explained in the past, this will at the very least half the logistics cost, which was $0.49 in Q2, as shown on the breakdown on the right. And this decrease is due to the smelter halving the volumes that will be transported to the anodes being more than double the grade of the copper concentrate currently being produced and transported. As we turn to Kipushi on the next slide. Kipushi has again contributed positively to our EBITDA while the ramp-up to optimal levels continue. Mark will talk you through the production results, which has been positive since the completion of the first de-bottlenecking step but we look forward to seeing improved financial results once Step 2 is completed later this year. The cash cost of Kipushi has been controlled nicely and sitting right in the middle of our 2025 guidance range. And we expect that mining support services and processing costs will come down as production increases in the remainder of the year. Turning to Ivanhoe Mines' consolidated profit and EBITDA on the next slide. Ivanhoe recorded a quarterly adjusted EBITDA of $123 million in the second quarter of this year. And that's lower than the Q1 EBITDA due to the lower attributable EBITDA from Kamoa- Kakula and for reasons I've already explained. Adjusted EBITDA for the first 6 months of the year was $353 million. Even with the seismic activity experienced at Kamoa-Kakula during the quarter, Ivanhoe still recorded a profit of $35 million in Q2 and a profit of $158 million for the first 6 months of the year. Turning to the liquidity snapshot on the next slide. And I mean, this slide is pretty clear that Ivanhoe had $672 million cash and cash equivalents on hand at the end of June, while Kamoa had cash on hand of $246 million. So we are very well placed to weather this short period of recovery. And when you look at Kamoa's CapEx guidance revision on the next slide. And after careful review of the capital expenditure requirements for the recovery and optimization efforts at Kamoa, we lowered the top end of our 2025 guidance range. The change includes deferring certain nonessential capital projects, while the cost required for the Phase 1 and Phase 2 pumping as well as a new box cut, an additional decline at Kansoko and the decline at Kamoa 2 has been incorporated. We have also updated our 2026 guidance to cater for the latest mine plans and to include the portions of this recovery capital that will be spent next year. This range has been made wide enough to provide ample contingency for additional work as the plans are firmed up, but the top end might very well decrease as these plans are finalized. Now turning to our CapEx plan for Platreef and Kipushi on the next slide. And we have kept spending on our growth plans on track during the second quarter and keep our guidance unchanged. Expenditure at Platreef is tracking at the lower end of our 2025 guidance, and with Phase 1 almost complete. We drew an additional $30 million on Platreef senior debt facility during the quarter. And we also continue to advance Phase II development and negotiations for a $700 million Phase 2 senior project finance facility, which is expected to close in the first quarter of 2026 is going well. And the first phase of Kipushi's debottlenecking program was completed in June with the second phase on schedule to be completed in August, and Mark will talk more about that later in the presentation. Looking at our pro rata financial ratios on the next slide. Our leverage ratio has increased a little from where it was at the end of Q1, but it remains relatively low, even with the well-timed completion of our $750 million notes that was closed in January. Our target net leverage ratio remains 1x through the cycle. And although it's higher than the self-imposed target on a backward-looking basis at the moment, it will come down pretty quickly when the Kakula recovery plan is complete. And as I already mentioned, we're in a very healthy pro rata cash position. And at the end of June, our pro rata cash on hand was $774 million. With that, I hand over to Alex Pickard, our Executive Vice President, Corporate Development and Investor Relations, to cover the exciting operations and project updates together with Mark Farren, our COO.
Alex Pickard: Thank you, David, and good day to everyone on the line. It's Alex Pickard here first, and then I'll share the honors on this section with our Chief Operating Officer, Mark Farren. You can see on the photo here, two of our mine superintendents recently underground at Kakula. So we can certainly prove to you that the mine hasn't gone anywhere. But for the avoidance of doubt, that is not myself and Mark pictured in the photo, and we can move to the next slide, please. So this slide is the usual recap of production at Kamoa-Kakula during the second quarter of 2025. So as David alluded to, overall, the drop in production quarter-on-quarter was not actually that dramatic. But we did have the benefits of a record month in April, which was our first month operating at over 50,000 tonnes of copper production, which is over 600,000 tonnes of copper annualized. So that was a huge milestone prior to the unfolding of the seismic events. So those events, as mentioned, really began in mid-May, and they did have a significant impact on our mining and processing at the Kakula operation, at least from that point onwards. We lost around 3 weeks of operations at Kakula in total due to stoppages. But since we restarted underground mining on June 7, we have been operating at a curtailed mining rate supported by the stockpiles that Mark will comment in much more detail on our plans to resolve that in the next few slides. Looking at Phase 3 in isolation, I think Marna mentioned this, it was a fantastic quarter coming from the Kamoa operations. Record throughput of 1.6 million tonnes from Kamoa Phase 3, which was very close to 6.5 million tonnes annualized. And that's without any further spending on de-bottlenecking. It was also a record in terms of grade at 2.92%, so getting very close to 3%. And then the recovery of 86% was basically closing in on the design parameter before any of the sort of Project 95 or Project 92 optimization. So over 41,000 tonnes of copper was produced during the quarter from Phase 3 alone. I'll pass to Mark Farren to take you through the next few slides on the dewatering progress on the mining side of things.
Mark Farren: Thank you, Alex. Maybe just to reflect backwards to I think Robert referred to it as the bump in the road. It's not a brick wall. It's a bump. It's a big bump, but it is a bump. So since the seismic activity happened in May. We had to do 2 stages of dewatering. The one was to stabilize the water levels as they were flowing into the mine because there's a water inflow of 3,700 liters per second, every second all the time on the mine. All the vertical pumping infrastructure remained intact. So it was really figuring out how to get -- how to feed that vertical funding infrastructure from different areas within the mine. So if you have a look at the dotted lines on the eastern side, so basically to the top of your -- to the left-hand side of your page, those dotted lines are the areas that are currently being mined, and basically, that sort of shows you whether the water levels are in a saddle between the East and the West. So Stage 2 is really to lower that water completely down, all the red areas basically on the West and the East. And once we've done that, we would have dewatered the mine completely. And I'll talk a little bit about that on the next slide. Next slide, please. So if you have a look at what we've done is we've got the delivery of the first -- the first pump is actually on site at the moment. We're going to put in 4 of these big 650-liter per second pumps at 2,000 -- they're 2,000-kilowatt pumps each, and they're going to go in sets of 2. I think it's about 150 tonnes of steel and pump that's going to be lowered down, 2 of the raise-bores that we have. One is the old multistage pump area and one is the [ main ] shaft, which sort of moves right into the center of the footprint. And if you can imagine, so these are submersible multistage pumps. They will be lowered into the water, basically, to the bottom or close to the bottom of the mine and then switched on. With that infrastructure pumping, it's at about 2,600 liters per second, and you've got your other infrastructure being lowered downwards, you'll quickly dewater the mine. The plan is actually to be completely dewatered by December. That's the plan that we have. But as we move down, we'll have access on the western side of the mine, which also happens to be the higher-grade areas that Alex was referring to just now. The next slide, please. So if I can refer you guys to this slide, the 1, the 2 and the 2, those are the areas that you're mining at the moment. And then that dark red in the middle is the area actually east to west, east to west where your high-grade mining zone sits. It also happens to be at the bottom of the mine. And in terms of where we are, we've done stability. We've managed to create stability. So in other words, we're pumping all the water that flows into the mine is being removed in the mine, it's stable. We have started mining on the west, with a number of crews, about between 10,000 and 15,000 tonnes per day, but it's not the grades that we want to mine in the longer term, obviously. So 10,000 to 15,000, we need about 15,000 tonnes a day to run 1 of those concentrators, 1 of the 2 concentrators. So the rest to get to the 80%, 85% production or feed is being fed from stockpiles at the moment. Then there's a plan on the eastern side to develop new mining to the areas beyond the area that was impacted by the seismic activity. That development is already underway. It's going quite nicely. And then we said we're going to dewater the Kakula mine. So the target is from August. So the first set of pumps, a set of 2 big multistage pumps will be switched on towards the end of August and then the next step will go in September, and then we'll be dewatering that mine. Complete geotechnical assessment and then redesign basically from there. We have done a lot of work with David Beck and we've got other -- some of the best geo-tech experts in the world looking at what happened, number one. Number two, also looking at how we're going to lay the mines out going forward, not only this mine, but obviously, the rest of the mining footprints at Kamoa and Kakula and Kansoko. We're quite excited about what we're seeing, and I'll get to it when I refer to it on the next slide. Next slide, please. So if you have a look at this slide on the right-hand side of the East, we are doing redevelopment. We're planning it, and we've started executing that redevelopment to open up the footprint on the other side of where the seismic activity occurred. We won't have a full assessment of the damage of the areas that were mined until we've completely dewatered the workings on the eastern side, and that will be by December, as I said before. It is very possible that we'll get through some of those areas and reestablish mining on the other side. But the backup plan is this black redevelopment that you see. That redevelopment will be done by next year. And after that, we will be back into the footprint on the East. On the western side, it's really lowering the water levels. We are in on the South and the North, as I said earlier. But to lower the water levels, what's important is to get back into the plus 5% copper. As we lower the water levels, it should happen in this year. So quarter 4 in this year, we should start seeing an improvement in the mine grade on the western side. So I think all in all, it's really getting the water levels down, reestablishing the East as a worst-case scenario and then getting the mine up and going, and we're talking about this mine only. In terms of where we are, I think the next milestone for us will be to come back to the market and the people that are listening on this call and explain what things look like for the future, short-term future. And we'll have something by September, which will look at the remainder of '25, which has already been forecast, '26 and '27, and then -- and probably I look forward to what the steady state looks like. I'm personally quite upbeat that we will be -- in the year '27, we will be up and around the numbers that we are aiming at before. That's where I am personally and we will have to come back to you on those issues. And then we will complete a full life of mine integrated development plan by quarter 1 2026, with the right building blocks, with the right sequencing of all these mines for the next 40 years. It still remains a fantastic ore body. It's the best ore body in the world. We've managed to look at a number of opportunities, especially around Kamoa 1 and 2 and Kansoko in fact as well, which open up more opportunities for us short term and long term. And obviously, we'll have to completely relook at -- geotechnically at the way we've been mining at Kakula. But I think all in all, the long-term prognosis to me is solid, solid as you'd like to see. Thank you. Next slide. Do you want to talk about the processing strategy, Alex?
Alex Pickard: Yes. Thanks, Mark. I think it's back to me on this one. So this is talking about the concentrators, and we did show a similar slide to this on a previous conference call. This is really the processing strategy for the remainder of 2025. So in the bar charts on the right- hand side, first of all, looking at the left-hand bar, that's the Phase I and II concentrators with 9.2 million tonnes of nameplate capacity. Really, our aim and where we are right now is filling those concentrators at roughly 80% to 85% of total capacity or potentially more if we can possibly manage it. So today, around 50% of that capacity is being fed from the old stockpiles that we have at a grade of 2% to 2.5% copper. And the remaining 50% is being fed from the successful restart of mining operations from Kakula West, albeit in that kind of limited footprint until the dewatering advances. So that is sort of roughly a 3% grade will hopefully be a 4% grade before too long and then getting back up towards 5% grade by the end of the year. Through the year, you will start to see a bit of a shift in this balance probably in favor of more ore tonnes coming from the run of mine both from Kakula and then also potentially supplemented by run of mine ore coming from the Kamoa side. And obviously, that stockpile contribution will also start to reduce. In terms of those stockpiles, we do have enough to basically keep on running until they're depleted in Q1 of next year. And by that time, we should have ramped up other mining areas to support the concentrator. The right-hand bar is showing Phase 3, which, as I mentioned, is continuing to be the star performer. Our intention is to basically run Phase 3 at 6.5% capacity, which is well in excess of its nameplate and really squeeze as many tonnes out of that side of the mining operation as we can. So we are very much on target to meet the revised 2025 production guidance, which was 370,000 to 420,000 tonnes of copper in concentrate. But noting that year-to- date, and this is just up until the end of June, we've produced already 245,000 tonnes of copper in concentrate. Next slide, please. So moving on to the direct-to-blister smelter, and this is really probably the most exciting thing that's happening in the upcoming quarter. The smelter is now basically mechanically complete. And you can see a great photo here with the blending facility in the foreground and the smelter in the background. So we're in the final stages of commissioning and then the heat up of the furnaces is planned in September. So that will be a big milestone for Kamoa-Kakula to basically turn into a fully integrated underground mine to blister copper or anode copper operation. And so we look forward to updating you on that in our next results. And as David mentioned, we do have a lot of copper in inventory at present, there's 31,500 tonnes of copper at the smelter ready to support the start-up. So we're looking forward to working down that levels to roughly 17,000 tonnes, which will be the sort of working capital in the circuit at the smelter at a normal point in time. We've spoken many times as well about the dramatic reduction in C1 cost that the smelter will bring. If anything, that is more pronounced currently because as we produce ore from lower-grade sources, that does produce a slightly lower-grade concentrate than what we would typically get from Kakula, so that has higher associated logistics and realization charges. And so the smelter really can't come soon enough from that point of view to assist with what David was saying to bring those cash costs back down again. The next slide is moving on to power. And power availability was really the big challenge that we used to discuss in the previous quarters. It really feels quite trivial in comparison to some of the operational issues that we faced during the second quarter. But I think one of the hallmarks of this world-class team is the ability that we've shown to address key challenges over time, make a plan and then execute on that plan very successfully. And in power, I think you will very soon see the fruits of our labor as the giant Inga turbine #5 is now mechanically complete. So that's what you can see on this image. The pre-commissioning activities have already started and then the wet commissioning of that turbine is on track for early next quarter, which will start to supply 178 megawatts of clean energy into the grid. In terms of the supply of that energy into Kolwezi and ultimately Kamoa-Kakula, there is a big milestone taking place in Q1 of next year when we will complete a new static compensator at the substation. So that will basically allow for a much more stable voltage coming from Inga to reach Kamoa-Kakula. And so I think it's very realistic to say that by early next year, we will have broken the back of our power challenges, and that also dovetails quite nicely on to the next slide. So the additional power that we will be generating from Inga, which is close to 180 megawatts will also be quickly followed up by the completion of a 60 megawatts battery solar energy project. So that's now in execution. The site clearance and early earthworks are underway. That's actually built in 2 modules of 30 megawatts each, and they are both separate independent power providers that are funding that CapEx and we'll complete that project by mid-2026. So Kamoa-Kakula will be the off-taker of that power. And that power will cover up to 25% of Kamoa-Kakula's total energy requirements coming from a captive and very green source. The project is also very scalable. So we plan to move up to 120 megawatts. There's no reason that we can't continue to move beyond that. And so we are now actually facing a realistic possibility. It didn't seem realistic a few years ago, but we may actually have a surplus of power by this time next year. So with that, that really concludes Kamoa-Kakula, and I'll pass back to Mark Farren to take you through some of the progress we've been making at Kipushi.
Mark Farren: Thanks, Alex. Okay. So Kipushi just in a nutshell, no big surprises. We're busy with basically 2 big shuts through the year, which we're ready to finish the de-bottlenecking and a bit of upgrade to take the circuit to be able to produce around about 250,000 tonnes per annum of zinc. That whole project plan has gone very well. You'll see the first half, basically, we've done 84,000 tonnes of zinc, and we forecast 180,000 to 240,000 tonnes of zinc. And we're maintaining guidance, which means that it's sort of back-end loaded. We've got -- if you can go to the next slide, I think it's better. So there's one more big shut that's going to happen in August. And then we finished the de-bottlenecking and then that sort of unlocks an additional 20% capacity. In this first half, we've had a number of shuts. So basically about 11 days of production taken off, and I think there's about 5 days left in August of shuts. And then we should be at the rate of running at beyond 20,000 tonnes of zinc per month, short term and then longer probably 25-odd thousand tonnes of zinc. So all in all, Kipushi, no surprises on the feed grades, no surprises on the mining. The good result with the work that we've done on the concentrator. This final shutdown is the last one in August, and I think we're going to -- it's going to shoot the lights out, it's going to go well as a zinc mine. It's really one of the major zinc mines in the world. Can you believe it? And the next slide. I think I've discussed this. No, sorry, yes, Platreef. Platreef, if you cast your mind back, we planned the small Phase 1 concentrator that you see in the foreground over there. And that was going to be fed with the Shaft 1 mine, which was really a bulk sample shaft in the beginning. And then we made a decision last year to do Shaft #3 to equip it for hoisting and to move quickly into, let's call it, Phase 2, into Phase 2 and then schedule the Phase 2 concentrator to go with that. So the Phase 1 concentrator is ready. We're all mining in reef at the moment, and we will feed that first concentrator in quarter 4, which is exciting for us. At the moment, we are mining, developing ore, we're stockpiling it on surface. And we will -- and we will start commissioning that concentrator in quarter 4 this year. At the same time, we are completing the construction of Shaft #3, which really is a game changer for us. It takes the hoisting capacity to 5 million tonnes per annum. And as part of that, we are going to accelerate, and we have committed to accelerate Phase 2, which basically unlocks Platreef. The next slide. So this shaft that you're looking at, the one here in front of you with the blue roof, Robert, the roof is now on, this is Shaft #2. It's a 10-meter diameter shaft. It can be used for some of Phase 2 work, but it's actually the Phase 3 expansion shaft. This shaft can hoist 8 million tonnes. So if you add that, you can add 5 and 8 to 13. So there's a massive amount of hoisting capacity that goes in when the shaft is complete. As we go with Phase 1 and Phase 2, we will also be scheduling Phase 3. That is in the published study that we've released. Thank you. Next slide. I think tailwinds for a change on the platinum side is really going around pricing. There's been a massive change in platinum and palladium prices in this year alone. It has a massive impact on our new net present value running through our FS and our Phase 3 PEA. So I mean if you have a look at sensitivities, it takes NPV from 1.7% to 3.8%, and that's in a long lead time to get to Phase 3. So I think we are here as we're walking into the year, quarter 4, we will start producing PGMs and selling them. And I think you'll start seeing the major shift from quarter 1 when Shaft #3 is running. So quarter 1 next year, Shaft #3 is running, and we can accelerate the development of Phase 2. And in my opinion, then you sort of get the right kind of scale that you want. What's also very important here is our $599 per ounce of [ 3PE ]. It's going to be the lowest in the industry, I believe. I'm not sure that anyone will be able to beat this cost. Thank you. Next slide. Alex, you're going to cover this?
Alex Pickard: Yes. Thanks, Mark. I'll close out the presentation as usual with an update on exploration and starting with the Western Forelands. So during the second quarter in mid-May, which feels like a long time ago now, we did announce a very significant resource increase at the combined Makoko district, which you can see in the image on the right-hand side. So what it really boils down to is that in the space of about 18 months' worth of drilling, we almost doubled the total results, and we are fast closing in on 10 million tonnes of contained copper and really to put it in context in terms of the efficiency of what we're doing in the Western Forelands, that probably came at a cost of somewhere in the region of $30 million to $40 million to basically add another 4 million or 5 million tonnes of contained copper. So the strike rate is exceptionally high. On that plan on the right-hand side, you can see the increased dimension of the new resource base. So in red, it's a little bit faint, but you can see the inferred resource outline of the 2023 update. And so now what we've added to that footprint at Makoko is the new discoveries at Makoko West and Kitoko. And then we've significantly infilled the ground between Makoko West, Kitoko and Makoko. So they're not really new discoveries anymore. They're really shaping up to be a new combined sort of cohesive copper district, which we sort of referred to as Makoko-Kitoko now, and that is really already comparable in scale to, for example, a Kamoa mine. So it does feel quite similar to that discovery story from 2008 onwards. The mineralization is open in multiple directions, including to the south. And so you can see there's a zone that we are planning to infill, which is really between the bottom edge of the resource shell and then there is a step-out hole that you can see labeled KTK048, which is well mineralized. That's 2 kilometers to the south. So there's a lot of potential to keep on adding to this resource. It was really a technical cutoff at a point in time to update and [ QP ] the statement that we've continued drilling since then. If you move to the next slide. This is really just looking at the Western Forelands, what we've discovered alongside Kamoa-Kakula on a global scale. And I think you can already see is certainly one of the largest discoveries of the past decade or more. We count #5, but still very much growing. And the stars, as always, are highlighting the grade that we have at the Western Forelands, which is very similar to Kamoa-Kakula in between 2.5% and 3% copper, and it really is sort of unsurpassed on a global scale. Just repeating, I see the number -- the resource number again. So now we have over 500 million tonnes of resource tonnage. So this really already has the scale to be a major development and a stand-alone mine or, in fact, multiple stand-alone mines. But we are by no means finished. The drilling is underway. We're in the middle of the dry season now. We have 9 rigs turning in the Western Forelands, and we are focusing on some new licenses that we acquired in the Western Forelands. So I will watch this space very carefully over the next quarter and beyond. The final slide in the presentation and moving to our new exploration horizon. The logo of Ivanhoe Mines did use to say new horizons, but we dropped it at a point in time. But we are now very active in our neighboring countries, Angola and Zambia as well as much further afield in Kazakhstan, but all of this is following a similar thesis, which is chasing sedimentary copper, which we know as much as anybody in the world about from what we've done at Kamoa-Kakula and in the Western Forelands. So in Angola, we are making steady progress on a massive land package. This is very greenfield exploration, but we have a first drilling contract that's been awarded to drill over 6,000 meters that will commence later on this year and progress into 2026. And in Kazakhstan, I think you'll recall that we announced in January, we signed a vend-in exploration partnership to stake a very large basinal position in the Chu-Sarysu belt in Kazakhstan. The Chu-Sarysu belt is thought to be the third largest sedimentary copper belt in the world. And so since January, we've actually moved very quickly there together with our joint venture partner. We've been awarded already close to 17,000 square kilometers of licenses in the space of 6 months. So that's a license position roughly 7x larger than the Western Forelands. It's kind of quite comparable to what Ivanhoe Mine started with in the DRC going back to the late 1990s. As always, our thesis is to focus very much on drilling as much as possible within the confines of our budget. So the drilling has already commenced in this month of July, and we have 17,500 meters planned and some exciting initial targets to focus on. So with that, I think we will wrap up the presentation, and I'll pass back to Matt Keevil to chair our Q&A.
Matthew Richard Keevil: Thanks, Alex. Yes, we now will begin the question-and-answer session. First and foremost, I'll hand it back to the operator to proceed with any questions we have waiting on the phone line with analysts. And then if we have some time at the end, we'll answer any web questions as the time allows. So operator, please do proceed with the questions on the phone.
Operator: [Operator Instructions] First question comes from Daniel Major at UBS.
Daniel Edward Major: Yes. So a few questions. The first one, just thinking about the time line of information around guidance at Kamoa-Kakula. I understand you're going to give an update to the market in September around a site visit. Can you give us a sense of what you expect to communicate to the market then, and then in Q1, as you're kind of working through the dewatering and the kind of work on redesigning geotechnical?
Mark Farren: I can maybe help. So we would want to guide the market on the year '26 and '27. That will be the September guidance. And then at the end of Q1, we will be full life of mine planning with the 43-101 March next year, a new full life of mine plan.
Daniel Edward Major: Okay. Just a question on the kind of the guidance for '26, '27, what gives you the confidence that you're going to be able to have conviction in that if you haven't actually fully dewatered the mine or redesigned the mine plan yet?
Mark Farren: That's a good question. So that -- so the assumptions you can assume would be conservative, let's put it that way.
Martie Cloete: Maybe also just to jump in here. What we were planning to do is also to just isolate the section that we cannot access yet, and provide certain sensitivities around that. But it will show you what it looks like in terms of our future plans based on the new mining method. And then what will still be uncertain would be that central block, and that we will then be able to communicate once dewatered. So that's the section where you will have to make certain assumptions. But for the rest of it, I think we will have a pretty high level of confidence as it will flow into our life of mine plans that will be published earlier in 2026.
Daniel Edward Major: And then the second question, if you took a step back and look at what was the cause of the kind of seismic issue and how that might impact mining method productivity and cost going forward, I mean, should we be thinking about this as smaller blocks ultimately less productive to prevent these issues happening going forward and having a knock-on impact on the cost outlook for the operation over the life of mine?
Martie Cloete: It's too soon to say. I think we -- from what we are seeing, as Mark alluded to earlier, we're actually quite optimistic around production volume. But it's too soon to say if we still need to schedule crews, we still need to schedule phases. So you can only really make an assumption around cost once you've done that work. So you will unfortunately have to wait until we make the information available.
Daniel Edward Major: And just one more question on Kamoa-Kakula. When I look at the sort of implied C1 cost relative to the difference between revenue and EBITDA, there seems to be quite a large -- a much larger adjustment this quarter in terms of reconciling the costs. Is that -- are those costs kind of additional costs associated with the incident? Can you just provide a bit more color on that?
David Harry Van Heerden: Yes, happy to Daniel. So our EBITDA reconciliation is included in our MD&A. So -- and if you look at that and you've still got questions around any of those line items, please do reach out. But it is the impact of the abnormal costs and that has played the biggest role as that is ultimately added back for C1 purposes.
Daniel Edward Major: Right, okay. That's clear. Because I wasn't really actually talking about the reconciliation of group EBITDA. It's the specific EBITDA, the $325 million for Kamoa-Kakula. But there is -- yes, there is additional costs associated with the incident that aren't captured in the C1. Would those [indiscernible] continue in Q3 and Q4? I would expect that would be the case as well.
David Harry Van Heerden: So no, we don't expect those additional cost to be reoccurring in Q3 and Q4 other than maybe a little bit of abnormal costs related to the dewatering. But I mean, we currently estimate that that would be roughly in the range of $10 million for the remainder of the year. So that won't move the needle much.
Operator: Next question comes from Andrew Mikitchook at BMO Capital Markets.
Andrew Rostislav Mikitchook: I just want to come back to -- I think it was Slide 24, if I can see this correctly, where you showed the updated and long-term mine plans. I guess if we stare at that in fine detail, I'm sure some of this is still being addressed, there's an additional ramp there. Is that kind of a ramp that would have gone down anyway to access the secular West portion, not the West part of Kakula? Or is that something that's just being done to adjust tonnages in the near to medium term?
Mark Farren: That's mainly for logistics. Basically -- I think it's a belt section. It might not be the only solution that's lying there. We're looking at raise-boring as well in the central block of the West. So it's logistics mainly.
Andrew Rostislav Mikitchook: Okay. And then I just wanted to just confirm because you guys put some figures of what I interpret to be a dewatered portion of Kakula East and made commentary in the press release that some ports that you had modest continued wording of that with the existing pumping capacity. From what you've seen, has there been any surprises or any material damage dewatered so far?
Mark Farren: At the moment, no. So what we have been doing is slowly lowering the pump trains as we go. But we can't really move fast until we put these big pumps in and that's where we are. On the West, we're not seeing any damage -- any damage at all. And on the East, we've been rehabilitating those top drifts as we go down. So yes, that's where we are. It's actually looking okay for now.
Andrew Rostislav Mikitchook: Okay. Well, that's good to hear. And I guess we all look forward to the September update where we get kind of the medium term. Under the current very near-term plan, I think, again, there's wording in the press release similar to the last disclosures that the stockpile runs out in Q2, is that -- it's Q1, is that an early Q1, mid, late, what's the best case scenario?
Alex Pickard: I'm not sure, Andrew, we can sort of predict that with accuracy because it's a bit of a moving target in terms of exactly how much tonnage we can push out of the Western section as we continue to dewater. Obviously, that dewatering is not a kind of binary process, it's a linear process. So as we dewater, it's likely that we might be able to open up more areas of the mine sooner. And it also depends to some extent on how quickly we can push more tonnage coming out of the Kamoa side of the mine. So it's difficult to say exactly how we will manage that stockpile within Q1.
Andrew Rostislav Mikitchook: Okay. Just one last quick question. As the dewatering does start on the west of -- let's say, on the east of Kakula, this Stage 2, would that conceptually open up some portions of the upper mine just to restart mining? Or is that really all kind of closed off until it's completely dewatered?
Mark Farren: The dewatering process itself, once those big pumps are running will be quite quick. So it's sort of putting in the first 2 and starting them up and then putting in the next 2 and starting them up and then lowering quite quickly. So you'd be assessing them, I guess, on the eastern side. But what we're saying is by December, we'll be completely dewatered and we'll be able to do a full geotechnical assessment of the East. And so within that time frame, there might be some mining and whatever. But we will make sure that we've done the geotechnical assessment properly before we reenter the East.
Andrew Rostislav Mikitchook: Congratulations on navigating these difficult weeks and months successfully so far.
Operator: We have no further questions on the line. I'll turn the call back over to Matthew Keevil.
Matthew Richard Keevil: Thanks very much, operator. We actually have no questions waiting in the webcast either, and we are coming up on the hour. So we will wrap up the call here. Again, I'd just like to reiterate, if you do have any unanswered questions, please do reach out to our IR team, Alex, Tommy, Matt, myself with any questions that require a follow-up. But thank you again for attending today's event, and we very much do look forward to speaking with everyone and updating you on the many exciting milestones management outlined here through the remainder of the year and moving forward. So with that, have a great day, and we'll talk to you soon. Thanks, operator. You can wrap up.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.